Operator: Good day, ladies and gentlemen, and welcome to the TechTarget Second Quarter 2013 Conference Call and Webcast. My name is Amy, and I will be your coordinator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now turn the call over to Bob Kellegrew, General Counsel.
Bob Kellegrew: Thank you, Amy. Before turn the call over to Greg, I want to remind everyone on the call of our earnings release process. As you saw, we issued our press release at 4 p.m. today. And as previously announced, in order to provide you with the usual update on the business ahead of the call, we have posted a letter to the stockholders from Greg on the Investor Information section of our website. We have also furnished it with our 8-K filing. The stockholder letter is intended to provide supplemental information about the quarter ended June 30. On the call today, Greg will briefly summarize our financial results for the most recently completed quarter and then management will devote the rest of the call to answering your questions. Additionally, I'd like to remind everyone that during the course of this conference call and the Q&A session, TechTarget will make certain statements that may be considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including, particularly, guidance as to the future financial results. Investors are cautioned that any such forward-looking statements are not guarantees of our future performance and involve risks and uncertainties and that actual results may differ materially from those contemplated by such forward-looking statements. These risks, along with other items, include: market acceptance of our products and services; relationship with customers, strategic partners and our employees; difficulties in integrating acquired businesses; and changes in economic or regulatory conditions; and other trends affecting the Internet, Internet advertising and information technology industries. For a description of these and other risks, we encourage you to read the section entitled Risk Factors in our annual report on Form 10-K, as well as other filings we have made. In addition, the forward-looking statements speak only as of the date of this call, and the company undertakes no obligation to update these forward-looking statements. Following Greg's introductory remarks, in addition to Greg, the following members of our management team will be able -- will be available to answer your questions: Mike Cotoia, our Chief Operating Officer; and Janice Kelliher, our Chief Financial Officer; and Kevin Beam, our President. And now, I'll turn the call over to Greg.
Greg Strakosch: Great. Thank you, Bob. We feel that we experienced the bottom in Q1 of this year. And although the IT market remains weak, the traction we're making both internationally and with IT Deal Alert is providing light at the end of the tunnel. We feel that our relative results will improve during the second half of the year, providing the foundation for a return to growth in 2014. I will now open up the call for questions.
Operator: [Operator Instructions] Our first question comes from Colin Sebastian at Robert Baird.
Colin A. Sebastian - Robert W. Baird & Co. Incorporated, Research Division: I have a couple of questions. The first one is on the qualified sales opportunities. My question is whether this is an up-sell or are you rolling that functionality out as part of the core IT Deal Alert offering? And then secondly, as it relates to guidance and the sequential decline expected in online revenues for Q3 then turning to a healthy and sequential improvement in Q4, is that seasonality, new contracts or something else kicking in there?
Greg Strakosch: Yes. So the first question about the sequential revenue, that's really just normal seasonality in the IT market. A lot of the marketing programs that we do are tied to product launches. And so it's kind of a normal rhythm, and there's not very many product launches in Q1 of the year. In Q2, in the spring, a lot around trade shows. There's a lot of product launches, definitely a decrease in July and August and then very healthy through September through the end of the year. So that's just -- that's normal seasonality, and you'll see that pattern through our previous years. In terms of your first question on qualified sales opportunities, that's a separate product within the IT Deal Alert family. So one way to kind of think of it simplistically is the original product that we rolled out is kind of a self-serve IT Deal Alert product where we give the data to our customers and they do the follow-up. In qualified sales opportunities, you kind of think of it as a full-serve offering, where TechTarget will do the first wave of follow-up for our customers and then give them the results of that. So we will have customers, depending on the amount of resources they have and how good they are at follow-up, depending on what their situation is, we'll pick kind of the self-serve model or the full-serve model.
Colin A. Sebastian - Robert W. Baird & Co. Incorporated, Research Division: And, Greg, are you seeing traction in terms of IT Deal Alert and QSOs as being kind of in line with your plan or above your plan, or how would you characterize those?
Greg Strakosch: It's a relatively new offering. I mean, we're very optimistic about it. We're -- Andoli [ph] , it's being very well received in the marketplace. We're starting to sell quite a bit of it. So yes, we think they will be a good contributor for the second half of the year, but more importantly is that -- it's we sell them quarterly, and there's incentive for people to do annual subscriptions to it. So we're trying -- for next year, we're trying to get a very good base of recurring revenue in place.
Colin A. Sebastian - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then lastly for me, and I'll jump back in the queue. In terms of headcount, you've talked before about adding some folks internationally and in carious sales functions. Are you now where you need to be in terms of the fixed overhead front, or are you still adding people at this point?
Greg Strakosch: Yes. So we -- with the the challenging IT environment, we've been pretty cautious in terms of adding headcount. So we've been relatively flat during the year, maybe -- we may even have a few less heads right now than we did in the beginning of the year. But we are -- we're in a good place right now for where the revenue level is. So I think for the second half of the year, our expenses will be pretty similar on a run rate basis from Q2.
Operator: Your next question comes from Dan Kurnos at The Benchmark Company.
Daniel L. Kurnos - The Benchmark Company, LLC, Research Division: Just a quick follow-up on Colin's question. Could you just remind us what the margin profile for IT Deal Alert looks like relative to your core online business?
Greg Strakosch: So that gross margins would be very similar, because the IT Deal Alert is really a derivative of the investment that we've already made in content. That's the activity of all the content that we're already producing, and it's the activity around our audience that we already attract through our content and most of our -- almost all of our traffic comes organically, either from existing members or word of mouth or from organic Google. So the margin profile for IT Deal Alert revenues is very similar to our core online offerings.
Daniel L. Kurnos - The Benchmark Company, LLC, Research Division: Great. And then in international, we had seen some weakness in online growth rates, but you guys haven't really been experiencing that. I know there's still a lot of penetration for you guys to go there. Could you just give us your thoughts on how that market plays out a little bit more and maybe whether or not you might make some acquisitions in the international space?
Greg Strakosch: Yes. So in terms of this, there's really 2 stories; there's EMEA and Asia Pac. So in EMEA, although the IT market is very challenged there, it's really what you said Dan, it's really a penetration story. The shift from offline to online in EMEA is several years behind the U.S. So even though those marketing budgets are under pressure and they're either flat or being cut, we're being very successful having those customers reallocate marketing -- the marketing dollars that they are spending from offline to online, which is providing a lot of growth for us. In Asia-Pac, that's a little bit of different story. The market is very immature there and the economies are healthier. So it's really just a greenfield situation that we're taking advantage of. But most -- even -- in both EMEA and Asia-Pac, most of the customers we're doing business with there are U.S.-based companies, and we're doing a very good job leveraging the long-term customer relationships we've had with them in the U.S. to get access to their marketing budgets in both EMEA and in Asia-Pac. In terms of acquisitions, I think our strategy in the U.S. internationally is similar; it's one of being very opportunistic. So we're always looking for things. And it's challenging to get them done because there's a lot of properties out there. But we have -- it has to be very a high-quality property, and it needs to be high-quality property that's for sale. And a lot of times, the best properties aren't for sale, and then when it is for sale, it has to be at a reasonable valuation. So when you put properties through those 3 filters, most of them don't -- won't pass all 3 of them. But we'll definitely -- we're always looking at things, and when the right opportunities come about, we'll be very aggressive.
Daniel L. Kurnos - The Benchmark Company, LLC, Research Division: That's great color. And then just one more for me. You saw a nice, sequential recovery in events. Just wondering what drove that. We thought that might be weak for a little bit longer.
Greg Strakosch: Yes. So it's really just the calendar. So the real way to look at events is more on an annual basis, because sometimes one event might be in March one year and in April the next year. So it gets -- it's a little bit lumpy. So the sequential story there is just -- is the calendar. But in terms of events for the year, those will definitely be down for us a little bit, but it's the -- we basically have the same event strategy, where we want it to be roughly 10% of revenue. We don't take all event business. We just take event -- do event business that has very good margins, and the strategic rationale besides the financial rationale for events is we're very -- we're the premium price player online. And the -- when our customers can meet our audience and touch and feel them and talk to them, then that helps us -- helps them cost-justify the premium pricing that we have online.
Operator: Our next question comes from Paul Szczygiel at Columbia Management.
Paul Szczygiel: What percent of online revenue in the second quarter came from IT Deal Alert?
Greg Strakosch: It was -- we didn't report it. We didn't disclose it. But it's relatively small. I think in the commentary, we said that, in Q3, we think it will be in the neighborhood of 5%.
Paul Szczygiel: Right. And when you say small, does that mean like less than 1%?
Greg Strakosch: Less than 5% roughly.
Paul Szczygiel: Okay. How many customers were using IT Deal Alert in the first quarter?
Greg Strakosch: Well, the first -- we really didn't start delivering it until the second quarter, but we had a handful of beta-type customers in the first quarter. But we have about 25 in the second quarter, and we expect to have at least 50 in the third quarter.
Paul Szczygiel: And with that doubling of customers, Q3 over Q2, is that going to be driven mostly by qualified sales or is it the original IT Deal Alert?
Greg Strakosch: It's a combination. But I think the main catalyst is the new offering qualified sales opportunities. So that was -- we developed that product based on feedback from the original customers. And as I said in the beginning, for some customers, that's the perfect solution for them. But you have to have a good sales process in place. You have to have the resources available. You have to have good follow-up and then good handoffs to field sales. But I'll say, any customer could use qualified sales opportunities, because that is kind of a sales-ready opportunity that can go right to field sales. So I think we will see -- I mean, we'll have customers using both. But I think that the qualified sales opportunities is more applicable to more of our customers.
Operator: There are no further questions at this time so the conference has now concluded. Thank you for attending today's presentation. You may now disconnect.